Operator: Good day everyone and welcome to the Mack-Cali Realty Corporation’s Second quarter 2011 conference call. Today’s call is being recorded. At this time, I would like to turn the call over to the President and Chief Executive Officer, Mr. Mitchell Hersh. Please go ahead sir.
Mitchell Hersh: Thank you operator. Good morning everyone and thank you for joining Mack-Cali’s second quarter 2011 earnings conference call. As tradition has it, with me today are Barry Lefkowitz, Executive Vice President and Chief Financial Officer and Michael Grossman, Executive Vice President. On a legal note, I must remind everyone that certain information discussed on this call may constitute forward-looking statements within the meaning of the Federal Securities Law. Although we believe the estimates reflected in these statements are based on reasonable assumptions. We cannot give assurance that the anticipated results will be achieved. We refer you to our press release and annual and quarterly reports filed with the SEC for risk factors that could impact the Company. I would just like to comment that the cloud of uncertainty surrounding among other things, the debt ceiling and all of the political posturing in Washington, continues to create a drag on businesses. Business leaders in general lack confidence in making capital investments and in creating new jobs in the phase of what appears to be stalled government. Back together with the unknown impacts of initiatives such as healthcare reform and Dodd Frank, continue to weigh heavily on businesses. At Mack-Cali, we continue to work with our tenants and the brokerage community to maintain healthy occupancy rates in our portfolio. We had significant leasing activity in the quarter with a total of approximately 1.1 million square feet in a 162 lease transactions. We ended the quarter at 88.1% occupancy, down slightly from last quarter’s 88.2% and our earnings were $0.69 per diluted share. Clearly, the stress in the global economy and the challenges in the office markets, particularly the office markets outside of New York City continues to negatively impact on the economics of lease transactions. Rents rolled down this quarter by 9.1%, compared to last quarter of 6.2%. For 2011, remaining leased rollovers are approximately 2.9% of base rent or just under $18 million. For 2012, we face rollovers of 10.9% of base rent or approximately $66.5 million. Among our accomplishments in the second quarter, was the successful leasing activity at our 125 Broadstreet in Downtown, Manhattan. That leasing, totaling almost 140,000 square feet included over 81,000 square feet lease to Continental Casualty Company, C&A one of the country’s largest commercial insurers and almost 60,000 square feet to General Reinsurance Corporation, known as Gen Re, a subsidiary of Berkshire Hathaway. Clearly, we had a lot of activity within our portfolio in transactions ranging from the traditional small requirement to several transactions totaling between 60,000 and 70,000 square feet and so we were very active during the quarter. Also during the quarter, we completed the delivery and development of 55 Corporate Drive a 204,000 square foot built-to-suit facility for Sanofi Aventis, building as we’ve talked about on previous calls was pre-leased for 15 years and provide expansion space at Sanofi’s corporate headquarters in Bridgewater New Jersey. On another note, we continue to be recognized for expertise in property management and superior energy performance. Just several weeks ago we announced that our 125 Broadstreet property became the first lead silver certified building in Downtown Manhattan and clearly this important designation enhancements the institutional quality of the asset and we are working with a number of our assets to gain lead EB or Existing Building designations. Also during the quarter, we achieved a number of Energy Star designations in our portfolio, throughout our portfolio a designation that indicates that we are at the top of the game with respect to energy efficacy and efficiencies. As well, several of our properties were recognized by BOMA, Building Owners and Managers Association, the local chapters recognized our assets throughout our portfolio for the manner in which they are managed and the level of service that we provide to our clients, our customers. And with that now, I’ll turn the call over to Barry Lefkowitz who will review our financial results for the quarter.
Barry Lefkowitz: Thanks, Mitchell. For the second quarter of 2011, net income available to common shareholders amounted to $17.3 million or $0.20 a share as compared to $18.7 million or $0.24 a share for the same quarter last year. FFO for the quarter amounted to $69.1 million or $0.69 a share versus $66.1 million or $0.71 a share in 2010. Other income in the quarter included approximately $1,86,000 in lease termination fees, as compared to $611,000 in the same quarter last year. Same-store net operating income, which excludes lease termination fees decreased by 3.8% on a GAAP basis and 4.4% on a cash basis for the second quarter. Our same-store portfolio for the quarter was 30.8 million square feet, our unencumbered portfolio at quarter end, totaled 237 properties aggregating 24.5 million square feet of space, which represents around 79% of our portfolio. At June 30, Mack-Cali’s total undepreciated book assets equaled $5.7 billion and our debt-to-undepreciated asset ratio was 33.1%. We had interest coverage of 3.3 times and a fixed charge coverage of 3.1 times for the second quarter of ’11. We ended the quarter with approximately $1.9 billion of debt, which have a weighted average interest rate of 6.57%. Currently, we have $55 million in outstanding on our $775 million revolving credit facility. We have narrowed the range of our FFO guidance for 2011 to 268 to 278 per share. Please note that under SEC regulation G concerning non-GAAP financial measures such as FFO, we are required to provide an explanation of why we believe such financial measures are relevant and reconcile them to net income. Available on our website at www.mack-cali.com are our supplemental package and earnings release, which includes the information required by Regulation G, as well as our 10-Q. Now Mike will cover our leasing activity. Mike?
Michael Grossman: Thanks, Barry. Our consolidated portfolio was 88.1% leased at June 30, as compared to 88.2% last quarter. Leasing activity in our portfolio was approximately 1.1 million square feet this quarter, and produced a tenant retention rate of 59.5% of that growing space. Our remaining 2011 rollover is 780,000 square feet or 2.8% of leased space and the expirations are evenly spread over the remaining two quarters of the year. Percentage of overall vacancy represented by sub-leased space continues to decline in most of our markets, but still averages about 13% of overall vacancy. Mitch?
Mitchell Hersh: Thank you. In closing our prepared remarks, I would just say that while we continue to remain focused on securing new leases and renewals with high quality tenants, we are cognizant of the fact that until we see job growth, tenants clearly will continue to be at least in our markets slow in their decision-making, that coupled with my earlier comments about that was, we all know what’s happening in Washington certainly is creating a real drag on businesses. We also continue to be very focused on maintaining our balance sheet flexibility in order to be in a position to capitalize upon strategic opportunities as they arise. Among these opportunities are, number one, the expectation of completing a lease near term at this juncture, certainly I believe within the next week or so for a 205,000 square foot built-to-suit headquarters in Morris County New Jersey, forming a joint venture that we are actively working on with a residential development partner for the of at least high rise part building at our Harborside Financial Center along the Waterfront in Jersey City, as well evaluating the possible acquisition or at least bidding on a reasonable basis on one or two acquisition opportunities in our core market. And lastly, continuing our discussions and dialog with the “private New York City operator” in helping them with some issues that they have in a New Jersey property and getting a little more involved in New York City. So with that, I would now open the floor to take your questions. Operator?
Operator: Thank you. (Operator Instructions) And our first question is from Sheila McGrath, KBW.
Sheila McGrath – KBW: Yes, good morning Mitch. I was wondering if you could talk about the trends of 125, Broadstreet in terms of concessions and if those ease as you continue to lease up the building and how that may compare to the concession fence in the suburbs?
Mitchell Hersh: Well, that’s actually, first of all good morning Sheila and as I have expressed on prior calls, there were several transactions done in Downtown that kind of set the bar for the expectations of the tenant and brokerage community. And so, we saw ourselves in connection with bringing that building from approximately 55% occupancy to what is now 92% in spending close to a $100 a square foot between TI and commissions in most of the transactions providing rent concessions of more or less a month a year of lease term recognizing that most of the transactions are longer term leased. Now with the remaining vacancy, we are in discussions with several tenants. Active discussions at this point and clearly we have now witnessed a quickly improving environment or climate. Downtown is much tighter market with very high quality buildings. The new assets at the Trade Center obviously several years away, so that are not direct competition in a lot of the commodity space doesn’t compete with the quality of 125 Broad. So we are pushing back at this point. And I would expect that will probably, I’m hopeful at least that will finish up the leasing with concession packages that are 15% or 20% below those that I’ve just described and that the rents might be a dollar too higher on average than the transactions that was completed. Now with regard to the suburban markets, I would say that, generally, we are kind of rolling around the bottom. I don’t see concession packages growing or having grown, clearly there remains pressure on rents and obviously we did, over the last decade a lot of leasing and so we are marking these, a lot of leases to what is the new norm of the new markets and that’s why we have from quarter-to-quarter these roll downs that we describe. But, I would say that demand is lackluster in the majority of the suburban markets. Clearly, employment growth is hindering absorption and the lack of employment and the largest component of corporate overhead is headcount. And so, until we see an improved job market, we’re not going to be able to see positive momentum or put much positive pressure on rents. I would except out Jersey City from that. I think that the market has remained resilient and relatively tight in the high quality asset base, not unlike what’s going on Downtown. That, kind of answered for you?
Sheila McGrath – KBW: Yes, it does and once you stabilize that building, is your intention to hold on to the long-term or would you consider sales?
Mitchell Hersh: Well, we would always consider optionalities but the current plan is to hold on the asset we have had interest in its standing at least in a careful way in New York City and it’s a good footprint for us and it’s I think something that we are going to hold on to.
Sheila McGrath – KBW: Okay, thank you.
Operator: And next we’ll hear from Jordan Saddler with Keybanc Capital Markets
Jordan Saddler - Keybanc Capital Markets: Thanks, good morning Mitch.
Mitchell Hersh: Good morning.
Jordan Saddler - Keybanc Capital Markets: Just following up on that last question on Downtown. I know it’s been a little bit tough leasing in over the last year or 18 months or so, but there seems to be quite a bit of excitement about Downtown now and I’m curious as to your view or position on the Downtown market, versus Midtown or – as a place for additional investment dollars?
Mitchell Hersh: All right, well, the majority of the inventory that will be affecting Downtown is the creation of new products stands on at the Trade Center as we all know and first of all I absolutely agree that there is a cash now and a much stronger residential and then retail community emerging in Downtown and so I think it’s becoming n exciting place. But a lot of the assets that exists in the Downtown market are aged and don’t compare with quality of a 125 Broadstreet or the new product that’s being created on the Westside. So, we would cognizant of that in any investment decisions that we make going forward. We are always cognizant of that in all of our markets. So, I would say that, not at the exclusion of Downtown, but that’s an issue that we’re concerned about.
Jordan Saddler - Keybanc Capital Markets: Okay. And then, staying there for a second, it sounds like, not new news, but Oppenheimer making their decision to go to 85 Broad. Are you – any sort of news on that on your front? I assume that will becoming, cycling out at 125, but I don’t know that for sure. Would you expect an early termination there or do you still have some lead time? So I guess they have to back to the last slot.
Mitchell Hersh: We have almost probably the end of 2013 on the majority space to Oppenheimer and a portion of the Oppenheimer space extends, runs out to 2017 to about 15% of their space. So, we have a lot of time and we had, although we’ve clearly had discussions with the top levels of Oppenheimer and I think I’ve talked on prior calls about the fact that there was an interest in the infrastructure that existed in 85 Broad particularly the trading floor. I think we have more than adequate time in a rapidly improving market to deal with the Oppenheimer space.
Jordan Saddler - Keybanc Capital Markets: Okay. And then, can you just reconcile the macro is creating additional debt ceiling et cetera. Yet, you are having big real tenants come into big leases with duration at 125 Broad with the insurance companies and now it sounds like you’ve got another big tenant essentially in the hook in Morris County. Could you maybe reconcile those two for me?
Mitchell Hersh: Well, certainly Downtown, first of all you have this business is to going to remain ongoing concerns have to do business and while the distractions and the real and pragmatic impacts of what’s going on in Washington could clearly – and are clearly harmful to the economy domestically and potentially globally and the impact on ratings and cost to capital and all these other things. You have businesses that are ongoing concerns that need to deal with the pragmatic issues of housing, the workforce now and in several instances quite frankly including the two insurance companies that I mentioned or talked about with respect to 125, where consolidations of fragmented occupancies Downtown, where we were able at 125 to provide them new – if you will, new generation space and they were able to consolidate a much more efficient space and accordingly took less space than they previously occupied in fragmented occupancies. So, I think part of it is that companies are making long term commitments because they believe in their business model. These are premier insurance companies that deal with the global insurance market. In the case of the build-to-suit, on the one hand Sanofi which was done several years ago in terms of the execution of the lease, that we developed the property, delivered the asset and – but there is no secret that the pharmaceutical industry is facing its challenges with respect to R&D investment in the phase of healthcare reform and all the other issues. But it’s a triple A credit and they are occupying or beginning to occupy the buildings. In the case of the other built-to-suit that I allude to, once again it’s an opportunity, a rare opportunity for a company in a sector of the economy that is global, that are global operation that has been performing well and they have an opportunity to consolidate into brand new space that is designed for their specific needs and they want to preserve that opportunity and they are willing to make a long term commitment because they believe in their business model. But I would tell you that generally and I know that, it’s a bit of a bifurcated market and perhaps New York City creates a lens where it’s kind of difficult to think that there may be other situations going on in the economy, but in general there is a lot of fear on the part of corporate business leadership in making new capital investment. We all understand or hope at least that the debt ceiling issues will be resolved and the political jockeying will subside for the moment. But, I think it certainly doesn’t, the fact that these debates occur, don’t do a lot and I’m still confident on the part of leadership of companies and it’s no secret that a lot of the corporate earnings which have largely been positive have been as a result of cost-cutting and maintaining a lot of cash on their balance sheet and not necessarily expanding their businesses. So, to some extent that the debt ceiling issue might be viewed as a femoral and but I think that all of these issues combined, the fact that we’re talking about higher taxes on the hand and the fact that the cost of capital can go up or interest rates can be increased as a result of what’s going on down in Washington make create an indecisive environment and companies – more than companies would delay decision-making as a result of that. But certain companies that have clear opportunities to consolidate and take advantage of what has been a favorable market on the part of tenants as opposed – on the part of landlords who are taking advantage of that.
Jordan Saddler - Keybanc Capital Markets: Thank you. I’ll hop back in the queue.
Operator: And our next question comes from Michael Knott with Greenstreet Advisors.
Michael Knott – Greenstreet Advisors: Hey Mitchell. Just wanted if you could maybe comment on – there is a couple of portfolios on the market are buildings I guess just curious if you would be interested strategically in the Newport Tower heart of Jersey City as it complements their existing holdings there?
Mitchell Hersh: Yes, we are absolutely looking at that and sort of the answer is, yes we are looking at it. There is a class A asset in the northern part of the Jersey City markets. It’s a little early to say where that whole process is going. It’s about a 1.1 million square feet. So it’s meaningful and I was down there last week.
Michael Knott – Greenstreet Advisors: Okay, thanks and then can you provide any more color on the joint venture that are in Jersey City on the some like a multi-family development?
Mitchell Hersh: Yes, I think I’ve decided there we have significant development capability down along the Waterfront and obviously at this point there the cost of development is even with some of these urban transit of tax credits and so forth haven’t been a catalyst to get some of these lager companies to a lot of them are – lot f the Waterfront tenancy as we all know is in the financial service sector and lot of fits and starts with regard to employment issues in financial services. So it’s been at this juncture not we haven’t been able to proceed with an office development. Our initial plans would be to develop what we call Plaza Four likely in excess of the million feet. But we have lent on the north end of Plaza Five and we are looking at – right now building in partnership with a well respected multi-family development company, at least one of three towers than we can build to the north of Plaza Five as a multi-family, an apartment tower. Well it’s very early in this process and more we’ve only looked at preliminary designs and I’m in the process of hopefully finalizing the terms and condition of the joint venture with this residential developer. It would be somewhere in the neighborhood of a million square foot tower, around 50 stories in what is a very active apartment market, particularly for what I’ll call workforce type housing. About 1400 units is what we at this juncture would estimate this first tower to be and it would be located right along the light rail adjacent to the entrance to the both the path and ferry service with of course ample vehicular parking capability. So that’s what we are looking at right now. It’s a historical market for residential and so, I think it makes good sense for us, put some land to work down there in a growing marketplace.
Michael Knott – Greenstreet Advisors: Thanks and then just to be clear, you are talking about breaking ground this year?
Mitchell Hersh: I mean, we have to go through the approval process all of which is permitted uses and so forth. So, I mean, my goal is certainly to getting the ground no later than next spring.
Michael Knott – Greenstreet Advisors: Okay and then the last question is, how should we think about kind of the return expectations in your mind for the build-to-suit in Morris County?
Mitchell Hersh: The built-to-suit in Morris County would show a return of about 8.5% on leverage on cost starting up.
Michael Knott – Greenstreet Advisors: Okay, thank you.
Mitchell Hersh: You’re welcome.
Operator: And next we’ll take a follow-up question from Jordan Saddler with Keybanc Capital Markets.
Jordan Saddler - Keybanc Capital Markets: Hi Mitch, just clarifying on the residential. Is that the Plaza eight nine parcel or?
Mitchell Hersh: No it isn’t. This is part of the Harborside parcel.
Jordan Saddler - Keybanc Capital Markets:
Mitchell Hersh: We are - pro forma a yield of approximately 7% unleverage. Obviously we would put leverage on it and we would expect certain mid-teen leverage returns, but that unleverage that’s about what it would be 7% plus minus.
Jordan Saddler - Keybanc Capital Markets: Okay and your expected stake would be about what kind of joint venture arrangement? I know you are still working through with it.
Mitchell Hersh: I’m not going to comment on that right now Jordan. It’s a little bit too early or let’s just say I haven’t finished the discussions but we will have a significant ownership position. But our interest and our capital will be very well aligned with our partners.
Jordan Saddler - Keybanc Capital Markets: Okay and then I just had another one on the built-to-suit the expected yield there and the size of that.
Mitchell Hersh: I just answered that question, but the expected yield would be about 8.5% yield on cost and the size is about 205,000 square feet.
Jordan Saddler - Keybanc Capital Markets: Is that a $40 million, $50 million deal?
Mitchell Hersh: That’s right. Yes.
Jordan Saddler - Keybanc Capital Markets: Okay, thank you.
Operator: And next we’ll take another follow-up question from Michael Knott with Greenstreet Advisors.
Michael Knott – Greenstreet Advisors: Hey Mitchell, just going back to your kind of opening commentary about being somewhat negative about kind of the overall operating environment and jobs, et cetera, et cetera are not to be, but just thinking little bit longer term or next few years, do you feel like the job machine will eventually kick back in and if so, how do you think currently about your kind of 88% occupancy today over longer term you think you can kind of get back to the low to almost mid-90s that I believe you’ve been at before. How do you think about the longer term trajectory of your 88% today?
Mitchell Hersh: Well, first of all we have the best asset base in the markets that we operate in. I mean, they are high caliber assets. We’ve reinvested in them and we have dominant market positions pretty much in most of the places that we operate. We have land positions where we can provide new product for expansion. So all of those elements bode well for us to be the pre-eminent owner operator and landlord in the majority of the markets in which we operate. We have an income stream in the company in our plus or minus 2000 tenants. That represents the global economy very well. We have financial services maybe that’s a 20%, but we also have participation from almost every sector of the global economy and I would submit that at the point where and I’m not sure exactly when this happens and I guess nobody in Washington knows when this will happen, but when some of the bantering can move to the side and we can see a clear leadership emanating from Washington and sort of a singular voice as to what the cost of doing business in the United States and of course it breaks down to many different regions and so forth. But the cost of doing business with respect to the regulatory environment, with respect to the entitlements, with respect to healthcare cost and even some of the issues that’s around things like the NLRD and are companies is going to do more hiring domestically or they are going to do more hiring offshore when some of those elements become clearer, I’ll have a better answer for you with respect to how quickly I see the trajectory. But we have lots of very high caliber tenants. We have insurance companies, we have life science and pharmaceutical companies, we have service sector tenants that like law firms that have lost books of business because they had parts of their practice with structured finance and that went away as we all know and they are looking for the opportunity to rebuild some of these components of their businesses and expand their businesses, because that’s the way you make money. And so I would say that, when we see some of the noise get out of the way and we see a little better leadership coming out of Washington because that’s where it all kind of starts. We could probably get on a fairly quick positive economic trajectory in this country, because we know that we are clearly the safe haven for the world’s capital and New York City is evidence of that, where there is a flight of the global capital that wants to invest in a place that they feel is safe and relatively resilient. And we are just around the corner with the majority of our portfolio from New York City and just kind of disregarding 125 Broadstreet for the moment. So I think the trajectory when it moves positive can probably be relatively quick and for us to regain occupancy in what is commonly viewed certainly by the brokerage and tenant community as the highest grade portfolio in the principal markets in which we operate. We should be able to gain traction very, very quickly and I don’t know exactly how long it is, because if I did I guess, I could help them more down in Washington. But that’s what I would expect.
Michael Knott – Greenstreet Advisors: Okay, thanks. And then on the better leadership, especially 1600 Pennsylvania, Barry can you just remind us what your current guidance is on same-store given the FFO guidance uptick and then just remind us there is still sort of a further occupancy decline based on your thinking?
Barry Lefkowitz: Yes, sure. We were down about 8% in the first quarter and we were down about 4% in the second quarter. I guess, that translates to right around down about 6% overall so far this year in same-store. We were looking at somewhere around 5% down in same-store plus or minus. In terms of occupancy or percentage leased, we expect that percentage leased will go down slightly between here in the end of the year probably around 50 basis points. That’s what’s baked into the guidance at the mid-point.
Michael Knott – Greenstreet Advisors: Okay, so that particular element is a little better than before.
Barry Lefkowitz: It’s about the same.
Mitchell Hersh: We have been saying 3% to 5% on…
Michael Knott – Greenstreet Advisors: Sorry, I was talking specifically about the percentage leased, okay.
Mitchell Hersh: Yes, slightly better.
Michael Knott – Greenstreet Advisors: Okay, thank you.
Operator: And we have no further questions. At this time I would like to turn the conference back to Mr. Hersh.
Mitchell Hersh: Okay, well, I want to thank you all for joining us on today’s call. We hope that we were able to provide some insightful commentary and we look forward to reporting to you again next quarter. Thank you.
Operator: And that does conclude today’s conference. Thank you for your participation.